Operator: Greetings and welcome to the IZEA Incorporated Third Quarter 2015 Earnings Call. [Operator Instructions] As a reminder this conference is being recorded. I would now like to turn the conference over to your host Mr. Ryan Schram. Thank you. You may now begin.
Ryan Schram: Good afternoon everyone and welcome to IZEA’s Q3 2015 investor update. I’m Ryan Schram, Chief Operating Officer at IZEA and joining me on the call this afternoon is IZEA’s Chief Financial Officer LeAnn Hitchcock and IZEA Founder, Chairman and CEO, Ted Murphy. On behalf of the entire team at IZEA we’re pleased to have you with us today as we share updates and perspective on our business. During the course of today's call our management team will discuss IZEA’s business outlook and the process of doing so will make some forward statements regarding the company. These statements are predictions based on our team’s expectations as of today. Actual events or results could differ due to the number of risks and uncertainties including those mentioned in our most recent filings with the SEC, the company assumes no obligations to update any forward-looking statements made during this call. Now with the appropriate disclosures out of the way, I will turn the call over to LeAnn that she can walk us through IZEA's financial performance in the third quarter of 2015. LeAnn?
LeAnn Hitchcock: Thank you, Ryan and good afternoon everyone. I’m pleased to share that IZEA had another record breaking quarter. IZEA reported its best quarterly revenue in the history of the company with an increase of 182% to $5.4 million compared to $1.9 million in Q3 2014. This also represents an 18% increase over Q2, 2015 revenue of $4.6 million. This increase was primarily attributable to the creation of our content only revenue stream due to the acquisition of Ebyline and continued increases in our existing sponsored social revenue. Content revenue represented $2.2 million accounting for 40% of total revenues for the quarter. Sponsored social revenue represented $3.2 million accounting for 59% of total revenues for the quarter. Net bookings were $6.7 million compared to $2 million in Q3, 2014. A significant amount of business booked in Q3 was weighted towards the back half of the quarter. We’re also continuing to see larger deal sizes that are beginning to extend over longer periods of time. As a result, much of the bookings were not recognized as revenue within this quarter. At the end of the quarter the company had unearned revenue of $2.4 million with an additional $3.3 million of booked business not yet started for a total of $5.7 million that is expected to result in future revenue. We expect that most of this will recognize this revenue in the coming two quarters. Gross profit for the quarter was $2.2 million up from $1.2 million during the same quarter last year, an increase of 74%. This also represents a 26% increase over Q2 2015 gross profit of $1.7 million. The gross profit increase is attributable to the increase in revenue during the quarter along with improved margins on that revenue from 37% in Q2 2015 to 40% this quarter. Gross profit margin for the quarter of 40% is down from 64% as compared to the prior year quarter. This is largely due to substantially lower profit margins from Ebyline related operations specifically with newspaper customers. Gross profit margin for the quarter for sponsored social was 58% while gross profit for content was 11%. We are increasing our gross profit margin expectations for 2016 fiscal year to 35% to 40% due to increasing demand for concept by brands which carry the three times higher profit margin in newspaper and publisher content. We expect margins on content revenue will continue to improve overtime due to growth in our managed services over the content business. While we have been very successful in growing the higher margin brand focused content business, the editorial newspaper content business associated with the Ebyline legacy client base has seen only marginal growth. As a result, we have reduced the estimated acquisition cost payable as of September 30, 2015 and recognized a $1.7 million gain in our general and administrative expenses in Q3 2015 as a result of this change in estimates. After the $1.7 million reduction from the gain, operating expenses for the third quarter of 2015 were $3 million compared to $2.8 million during the same period in 2014. The company incurred additional expenses of nearly $500,000 related to our legal fees and settlement agreement with Blue Calypso as disclosed in August 2015. Cost related to personnel have also increased over $1 million. We have increased our average number of personnel by over 31% since the prior year quarter along with average salaries per person. The increase in salaries is due to increased commission and bonuses paid as a result of the increase in revenue, and is also due to the hiring of additional higher level sales executives and engineering staff in 2015. Our cash based OpEx to revenue ratio continues to improve as we gain efficiencies to both better performance in technology, cash based operating expenses as a percentage of revenues are trending 30% to 40% better than in prior years. However, we still expect that growth and expenses will outpace the growth in our gross profit near term as we expand our personnel to support our managed content business and as we increase our engineering expenses to improve and support our web based platforms and IZEAx partners. These investments are being made in order to provide the infrastructure to create continued revenue growth at higher margins in the coming years. Operating EBITDA for the quarter was a loss of $2.2 million compared to a loss of $1.3 million during the same period last year. The decrease in EBITDA is primarily due to the legal settlement and continued investments in new hires and technology in 2015. Net loss for the third quarter was $2.6 million compared to a net income of approximately $685,000 in 2014. Basic and diluted loss per common share for the quarter was $0.03 compared to basic and diluted income per common share of $0.01 in 2014. This is primarily due to a $2.1 million difference in the change in fair value of the company’s derivative and the increase in legal expenses between the periods. From July 20, 2015 through August 14, 2015 we offered a 25% to 26% discount on warrants that we had issued to investors in 2013 and 2014. On August 14, 2015 investors exercised warrants for a total of 43.8 million shares of common stock at an average exercise price of $0.29 per share. As a result of the warrant exercise, we received cash of nearly $12.9 million, recorded loss on exchange of $1.8 million due to the reduced exercise prices and eliminated the $6.5 million warrant liability in Q3 2015. This transaction combined with our current operations during Q3 2015 resulted in cash and cash equivalents balance of $13.3 million, a positive working capital balance and stockholder's equity of $16.2 million at September 30, 2015. In addition to our cash on hand, we still have a $5 million credit facility with Bridge Bank which is currently untapped. I will now pass it over to Ryan to speak about the brands and agencies we’ve partnered with during our third quarter.
Ryan Schram: Thanks LeAnn. Across the board it was more strong quarter performance for IZEA's client services organization another step for execution of our overarching sales strategy. Our leadership team actively monitors and valuates the units progress in multiple dimensions including sales pipeline, net bookings, organizational efficiency and revenue recognition amongst other reading KPIs. With the strategy to grow our annual bookings to $100 million by 2018, our team is laser focused and now is building an operational foundation that can scale but also want to deliver an incredible client experience are mashed in the industry we helped to build. Thanks in continued ability for our team to upsell and cross-sell both influencer and content marketing solutions to the new and existing client alike. Our total sales opportunity pipeline grew to $36.2 million in Q3, a 120% year-over-year increase. Simply put, the interest in IZEA’s offerings has never been stronger and the caliber of client relationships our team members are building with brands and agency to support them are increasing. Turning to bookings, our team booked multiple company records delivering $6.7 million in net bookings in Q3 topped off by our best month ever in September with over $3 million in commitments. Coming off with us typically a slow summer period for advertising and marketing in general, we are particularly proud of this performance by our client development group. Speaking of price, few companies enjoy the wide array of remarkable brand partners that IZEA’s been able to serve during 2015. In Q3 we welcome back many of our little clients including 3M, Clorox, ConAgra, eBay, General Motors, Hershey, Nationwide, NBCUniversal, The Walt Disney Company and Wendy’s. Those brands were joined by a array of new clients partners of IZEA including Bacardi, Chuck E. Cheese, Folgers, KFC, Maytag and PLS amongst others. I want to extend a word of gratitude to our entire client development organization for this great quarter. It's not just the sales to drive these results, it's also the heroes behind the scenes who work with our clients from the very first interaction with IZEA, all the way through the successful delivery of measurable results from their campaigns. So to our team members and part of evangelism, account management, campaign fulfillment and greater ecosystem, thank you for everything you do for IZEA and our clients. As many of you may know, IZEA has a proud culture of high expectations and we’re steadfastly on [indiscernible]. Our leadership team demands the very best from our people and this in the industry were just enough is not only acceptable if sometimes held it. Therefore we're committed to make sure that our high standards will not be compromised as our company grows, as the category evolves and as we prudently manage investments in additional human capital. As a result, we expect a certain degree of key number of turn related to individuals were not motivated by this challenge or the expectation set forward by our organizations operational culture. From the very top of the company all the way down we seek to measure everything we can about the businesses performance and then learn and adjust quickly to be most efficient and intractable that we can be. At the conclusion of the third quarter as IZEA client's development staffed totaled 39 people, net of our handful of departures for continued performance management and optimization. This is beneath the plan of our company started to have in place for this point in the year but we firmly believe the quality not just quantity of human capital wins in the long run. Our team has also certainly modified our staffing approach in two ways, first by focusing on growing to headcount of sales personal in our various field offices in the effort to be able to be in front of clients more frequently and second by hiring more senior on personnel where we believe that investment can deliver a meaningful positive impact to IZEA. Beyond the company's client development organization, team IZEAs overall headcount was effectively flat from last quarter with 116 fulltime employees with the largest growth outside of sales occur in our engineering group. Now for some additional info about the company's performance in Q3 and outlook at what they had for IZEA. I will turn the call over to Chairman, Chief Executive Officer and Founder Mr. Ted Murphy. Ted?
Ted Murphy: Thank you, Ryan. We continue to make progress on the sales front. We are executing on our plan and delivering incredible growth in pipeline, bookings and revenue. That said, I want to underscore to our investors that we are becoming more efficient as we grow. Our nine month average bookings per sales person through the end of Q3 2015 has increased 106% over our Q3 2014 nine month average, while our revenue for the quarter has increased 182% year-over-year, our cash based operating expenses have only increased 69% and this includes nearly $500,000 related to our legal fees and settlement agreement with Blue Calypso. We are achieving this efficiency by leveling up on our technology and our people. We are hiring more senior professional while simultaneously investing in the betterment of our existing team members. We are using technology to make gains in efficiency and remain committed to an ongoing cycle of continuous evaluation, improvement and adjustment. One of the areas of challenge for the company this year has been the marginal growth of the newspaper related editorial content business that represented the vast majority of Ebyline’s historical revenue. This line of business has a low margin, has a very long sales cycle and is ultimately challenged to grow given the downward pressure on news organizations. Declining CPMs, ad blockers and hyper fragmentation of content creation and consumption have it on this space. These organizations are experiencing very high turnover, rewards and divestitures all of which are unfriendly to business development activities, we still believe we have a great solution for editorial departments with the news organizations but the potential profits do not warrant the expense associated with chasing new business. That said we will continue to pursue partnerships with the marketing and sales arms within these same companies to produce needed advertising content. We have been very fortunate that our team has been able to compensate for slower than expected growth from newspaper clients with stronger growth in both sponsored social and brand content despite the challenges with the newspaper business, we remain well in range of the $25 million bookings goal I set forth for the 2015 fiscal year. The remaining pipeline for 2015 supports at finish at or near the $25 million mark but I do want to caution that we are dependent on client timings can have the few key deals that we need to close within the next seven weeks. While content revenue will continue to grow aggressively, we do not currently believe that the Ebyline content revenue will meet the levels required for them to receive the $5.5 million in contingent acquisition performance payments, as such our total expected payment for the Ebyline acquisition will be $3.3 million for a business that has already generated $5.7 million in revenue for IZEA through September 30, 2015. Looking forward, I remain confident in our ability to achieve $100 million in annual bookings by the end of 2018. I believe that with our continued investment in platform development and sales our content business can generate between $30 million and $40 million in annual sales in 2018. As we look at the space, management has a few key assumptions. The market opportunity is real and growing, we believe influence of marketing and sponsored social are $1 billion market today. We also believe that while the category is broad in definition, content marketing is already a $40 billion market today. Competition and interest in our space is increasing, there is a steady onslaught of new platforms and companies competing for marketing dollars. Nobody has put enough space between themselves and everybody else. We'll have to invest more money in marketing dominance to maintain and grow our current market share. Consolidation and vertical integration is imminent. Large companies are already looking for ways to buy into both content and sponsored social. There could be operational efficiencies into buying platforms and processes and there are too many subscale players going after the exact same marketing dollars. On top of that, the smaller players are distressed and running out of cash. As IZEA continues to grow organically, we believe there is an opportunity for us to consolidate companies, optimize for efficiency, plug them into our sales force and grow our footprint. While no transaction is currently imminent, we are actively evaluating targets of various sizes and intend to be acquisitive over the next three years. We believe our platform, size and public company structure provides us with the unique position in our space and we intend to capitalize on our assets moving forward. We will be aggressive in our growth strategy and we believe scale is paramount to long-term success. The long-term of IZEAx is going to be driven by three pillars, pillar one the biggest network. We must offer advertisers a broad network of creators providing them with access to high quality, diversity and scale. Pillar two, the most opportunity. We must provide creators with an opportunity to work with high quality brands and publishers that they truly enjoy through various compensation models. Pillar three, the best customer experience. We must provide a best of breed platform that makes conducting business with each other simple and intuitive. The platform announcements made of IZEAx last month are designed to strengthen these pillars and I want to thank the investors and analysts that travel to Orlando to join us for the event. Based on the success we experienced this year, we have already began planning for IZEAx 2016 and hope more of you can join us next October. We continue to move forward with your NASDAQ uplisting process that has been at a much lower pace than we had originally hoped. We spoke to NASDAQ late last week and they indicated that they are still reviewing our application. We have responded to all information request in a timely manner and believe we need all requirements as outlined by NASDAQ barring our current share price which will require a reverse stock split to meet the listing standard. We will not affect a reverse stock split until such time that we have received preliminary approval and confirmation from NASDAQ that we have met all other requirements. While the process has been slow, it is important to recognize that this is our first quarter reporting full financial results post the warrant conversion and that we did not meet the equity requirements prior to that warrant conversion. It is my hope that IZEAx continued execution and strong performance in Q3 will provide NASDAQ reviewers with additional indication of our financial eligibility and increase the desirability of welcoming our company to their prestigious exchange. Over the coming weeks, I will be traveling to meet with investors in markets including New York, Chicago, Denver, Seattle, Minneapolis, and Montreal. I will also be attending the LD Micro Conference in Los Angeles in December. If you would like to arrange a meeting with me please reach out to Budd Zuckerman of Genesis Select. Thank you for spending your time with us this afternoon. I would now like to open up the call for Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Matt Tiampo of Craig-Hallum. Please proceed with your question.
Matt Tiampo: Good afternoon ladies and gentlemen and congratulations on - you accomplished this quarter. I just have a couple and I had to apology if you already answered this. It looks like given some release and maybe little bit of dynamics around bookings on revenue and revenue it seems to be may be a slight shift in the relationship between the two and the tempo which bookings move in the revenue do you have any new color on that first it might be helpful?
Ted Murphy: Matt this is Ted. What we are seeing with the lot of our new business is that the deal size is growing, the campaigns are getting longer, the engagements are getting longer and general as a result of that we’re starting to see that the revenue recognition is taking a little bit longer. We also for the past two quarters had been very back half heavy and even really heavy in the last month of the quarter in particular, so you’re just seeing some of those bookings be spread over a little bit great period. But this is something that we’re going to continue to watch, we definitely want our deal sizes to continue to grow, that is a very positive thing but it may cause some further disconnect between bookings and revenue long-term. So we will try to keep an eye on that and provide guidance as we have more information.
Matt Tiampo: Okay, great, thanks Ted. And maybe just a follow-up to that, you had a pretty decent chunk of unearned revenue coming out of Q2 as well at this quarter. Have you seen that move to revenue predictably in the manner that you would expect or is there been some slippage of loss couple of quarters?
Ted Murphy: I think that we’ve actually seen it relatively predictably move over. If you look at the bookings growth last quarter and then compare to revenue growth this quarter, you will see that there is some – there is some correlation there. But it is definitely something that we’re going to continue to watch because we obviously want to make sure that revenue is recognized as quickly as possible but it’s ultimately up to the client, they are dictating the pace of the campaign execution.
Matt Tiampo: Great, thanks. And then on the three year annual goal of $100 million and I think and maybe I can be mistaken but it sounded like there is a slight change in letter around that, you said three years of annual - $100 million of annual bookings by 2018 and my feeling was that few weeks ago was $100 million sales but I could be mistaken.
Ted Murphy: Yes sometimes we use that sales and bookings interchangeably. It is bookings and then from the bookings we would have revenue recognition.
Matt Tiampo: Okay, great. And then last one from me and then I’ll hop back in the queue but just on – it seems like you had pretty sustainable success on the gross margin line over the last couple of quarter especially on the content revenue side. Is that a product of some of the sweetness in the newspaper business and more content being sold to brands? And then do you think that is obviously it sounds like sustainable, where do you think that gross margin can go over the next couple of years?
Ted Murphy: Yes we think that there is still room for growth there, a lot of that growth to this point has been because of the increase in brand related business and the decrease on the newspaper side which has much, much lower margins but we believe over time that that will continue to grow and it’s certainly something that we as a team are very much so focused on.
Matt Tiampo: Great. Thanks very much.
Operator: [Operator Instructions] Our next question is coming from the line of Jon Hickman with Ladenburg Thalmann. Please proceed with your question.
Jon Hickman: Hi, my first question is for LeAnn. So the loss on the exchange in the warrants the $1.8 million, was that a cash expense or a non-cash item?
LeAnn Hitchcock: No, that is a non-cash below the line item, that is required because the price was reduced on the warrants so its treated as if you exchange to old warrant for new warrant at its different price and then a difference in the fair value of those warrants it get run through the P&Ls the loss of exchange with the other side going to equity.
Jon Hickman: Okay. So if you really adjust to EBITDA for all the non-cash items, then it's like 1.7 million lower right?
LeAnn Hitchcock: It's right around $2 million, yes.
Jon Hickman: Was it gain or was it non-cash item too right?
LeAnn Hitchcock: That is correct.
Jon Hickman: Okay, I got it now. So Ted then my next question has - I’d like the follow up little bit on the newspaper side of things. So are you telling us that you think you can make up the difference on the social sponsored social sites? Is that way you’re trying to tell us?
Ted Murphy: If you look at what we’ve been able to accomplish this year, it is really been as a result of strong increases and sponsored social and then the brand side of the content business really having very significant growth. So we are not really putting additional sales efforts to the newspaper part of the business just because the effort required really doesn’t make sense given the profit margins and how long the sales cycles are and how difficult the sales profit is. So we’re focusing on brands because the sales process is quicker. We already have relationships with them because we are selling to them in the sponsored social states and the margins are substantially flatter as well.
Jon Hickman: Okay. So you not really back relate from your booking number for the year but you don’t really know about when bookings are returning to revenues for sure because some of the lengthening cycle and the larger size of the deal -
Ted Murphy: Correct, I guess that's the negative there. The newspaper business, the revenue recognition is much more predictable, where as the brand revenue recognition is less predictable and tends to take longer.
Jon Hickman: Okay. And then you talked a couple of times – or the comment was made a couple of times that lot of your bookings would occurred in the very back part of the quarter. Do you think that’s a seasonality issue or is that something you are going to see going forward?
Ted Murphy: I don’t know exactly that the last two quarter have particular have been very heavily weighted towards the back half and I think that’s the part of that is just sales cycles but I don’t think that’s necessarily something that is 100% predictable for us at this point.
Jon Hickman: Okay, thanks. That's it from me.
Operator: Our next question comes from the line of Alex Silverman with Special Situation Funds. Please proceed with your questions.
Alex Silverman: Hi, guys. Wondering is there anything about the third quarter which leads into the holiday season that would impact bookings and the length of records?
Ted Murphy: I don’t think that there is anything in particular that would impact that.
Alex Silverman: Okay. So it's not like campaigns are being built over the summer for the holidays and therefore extending the time to recognize revenue?
Ted Murphy: We do have some of that, but a lot of the larger deals that we have out there that haven’t been recognized yet really are tied into any sort of seasonal effort. It’s much more just a question of content production and cycles.
Alex Silverman: Okay. The gain on the change in contingent payable, that was all in G&A?
LeAnn Hitchcock: Yes that is correct.
Alex Silverman: Okay. And the Blue Calypso settlement and legal cost were where?
LeAnn Hitchcock: That is also in G&A.
Alex Silverman: Okay. So is the $2 million - the negative $2 million EBITDA, does that back out the legal settlement or is that inclusive of the legal settlement?
LeAnn Hitchcock: No that is inclusive because that is a cash expense and that definitely is part of normal operations going through there but not only do you have the 390 actual settlement cost but then there is an additional by 200 in additional legal fees surrounding that and that increased legal fees all year as well that should not be recovered in going forward.
Alex Silverman: They will not be recurring going forward.
LeAnn Hitchcock: Correct. We definitely expect the legal fees will be substantially lower in future quarters.
Alex Silverman: So $390,000 settlement was in the number, how much legal was expensed this quarter?
LeAnn Hitchcock: Well, in addition to comparatively to the prior year quarters?
Alex Silverman: No, no just this quarter.
LeAnn Hitchcock: Actual legal expense was around $700,000 in this quarter.
Alex Silverman: $700,000 and that should not recur?
LeAnn Hitchcock: Correct.
Alex Silverman: Got it. Okay. The fully expense of $700,000?
LeAnn Hitchcock: Yes.
Alex Silverman: Okay, thank you.
Operator: Our next question is from the line of Bill Musser with New Frontier Capital. Please proceed with your question.
Bill Musser: Hi Ted, question for you on Ebyline. It seems to me what you got out of that acquisition were the relationship with the number of newspapers and relationship with a group of writers who are probably pretty good journalist but knowing what you know now would you do it over again?
Ted Murphy: Absolutely, that was a fantastic acquisition for us by all accounts. The decision to not pursue the newspaper business is simply because we think that there is more opportunity out there with the brand business but we were really never excited about taking down the newspaper business to begin with. So I think that this is a fantastic acquisition for us and it’s really going to be the basis of a very substantial part of our business moving forward.
Bill Musser: Would you just spend a sort of a minute talking about how you leverage the relationship through the newspapers and the writers to make what you just said true?
Ted Murphy: Yes, the relationships actually moving forward are more important with the writers than it is necessarily with the newspapers. I mean the newspapers that are using that platform are going to continue to use that platform and we expect that there is going to be some marginal growth from those clients but we don’t – the process of onboarding one of those customers is just very arduous and the amount of effort that's required for the margin that you’re able to get out of the editorial side of those newspapers just doesn’t – it doesn’t make sense. And that said, we are working with the sales and marketing arms with the same organizations at a much higher margin than the editorial departments. So we are still leveraging those relationships on the sales and marketing side but we are just not going after those editorial departments, it’s just – it’s not worth our effort.
Bill Musser: So basically the dilutive effect of their gross margin on your gross margin over the next couple of years should diminish a lot, is that correct. I mean it would seem to me to diminish enough that 40% is more than attainable as a gross margin, it could be better than that?
Ted Murphy: Yes, we think that 40% will be certainly within range and that's why we revised our margin upward this year and we think that the brand content will continue to grow whereas the – grow at a significant rate whereas the newspaper part of the business would just have some marginal growth.
Bill Musser: Thank you.
Operator: Thank you. Our next question comes from the line of [Dennis Dolmen] [ph], a Private Investor. Please proceed with your question.
Q –Unidentified Analyst: Hi Ted, Dennis Dolmen. The expectation of future bookings is that assumption organically or do you have some acquisitions built into that goal?
Ted Murphy: The $100 million numbers that were you’re speaking them.
Q – Unidentified Analyst: Yes.
Ted Murphy: Yes, we assume that there is going - that there will be some acquisitions over the next few years to meet that goal.
Q – Unidentified Analyst: Okay. And just to my final question, there was a recent video articled with the marketing persons in Facebook and during the course of that conversation or that interview she mentioned, all of the key buzz words that you use to describe IZEA’s marketplace now she didn’t do it together but if you went through the article you could pretty clearly read into what [indiscernible] asked you which is where do you see faith in growing Facebook in your marketplace?
Ted Murphy: Facebook is certainly a force to be reckoned with, we know that there is a lot of interest from advertisers and Facebook advertising and also on other platforms like Instagram. Instagram in particular seems to be of high interest to advertisers right now they’re doing a lot of those types of campaigns. Facebook is also really interesting for us with our newly released social links which is something that we announced at IZEAFest where people can share affiliate links to Facebook and Twitter and place them on their blog. And it is definitely part of the mix we use it both through sponsored social and also for other amplification and I don’t think it's going anywhere so I think we’re going to continue to see lot of advertising interest there but at the same time what is happening in our space is that advertisers are looking at some of the newer platforms like Instagram and buying, and there just seems to be a lot of excitement around those right now.
Q – Unidentified Analyst: Okay. And just one last question, Ryan you spend a lot of time executing, the business has grown just as the only thing hasn’t grown is the stock price. I realize that you’re waiting for the stock price and the stock volume trading volume, realize your waiting for the uplift okay, is mentioned your [captured in] walk upon road shows which by a plug - but your best guess what is it that if you believe in the efficient market there, what is the marketplace seen that we as your current investors are not that keeps the stock price there - and lack of interest.
Ryan Schram: Yes, I think that from the discussions that I had with people who can be potential buyers for the larger institutional buyers, there is certainly a challenge and the stock being a penny stock, the stock being over the counter and that disqualifies a large amount of those. We also know that it is becoming increasingly difficult for people to buy penny stocks in brokerage accounts. So if you’re an e-trade user who doesn’t normally buy these types of stocks but seems to be really interested in IZEA, you can’t just go and make that purchase without having to go through a process of getting that approved for your brokerage account. So I think that until we get beyond being over the counter until we reverse split the stock and get it to a higher level, it is going to continue to be challenged. We don’t engage in a lot of the activities that have lot of companies in our space do to promote the stock and that’s not something that we really interested in. What we’re interested in is building a very strong foundation, a solid company and getting this thing ultimately uplisted and we believe that what time we will get the recognition that we deserve.
Q – Unidentified Analyst: Thank you very much. Good luck.
Operator: At this time I’ll turn the floor back to Mr. Murphy for closing comments.
Ted Murphy: I’d like to thank you all for joining us today. If you ever have any questions you can always reach out to me directly I'm ted@izea.com. Have a great day.
Operator: This concludes today's conference. Thank you for your participation. You may now disconnect your lines at this time.